Operator: Good morning everyone and welcome to the Gibson Energy's Third Quarter 2024 Conference Call. Please be advised that this call is being recorded. I would now like to turn the meeting over to Beth Pollock, Vice President, Capital Markets and Risk. Ms. Pollock, please go ahead.
Beth Pollock: Thank you, Therese [ph]. Good morning and thank you for joining us to discuss our third quarter 2024 operational and financial results. Joining me on the call this morning from Gibson Energy are Curtis Philippon, President and Chief Executive Officer; and Sean Brown, Senior Vice President and Chief Financial Officer. We also have additional senior management team members in the room to help with questions and answers as required. Listeners are reminded that today's call refers to non-GAAP measures, forward-looking information and is subject to certain assumptions and adjustments and may not be indicative of actual results. Descriptions and qualifications of such measures and information are set out in our investor presentation available on our website and our continuous disclosure documents available on SEDAR+. Now, I would like to turn the call over to Curtis.
Curtis Philippon: Thank you, Beth. Good morning, everyone and thank you for joining us. I'm pleased to be here today for my first quarterly call with Gibson Energy. Before we get into our third quarter results, I'd like to take a moment to introduce myself. Prior to joining Gibson, I've been in the North American energy sector for over 20 years. The most recent decade of which was spent as the President and CEO of a low-carbon energy distribution business. During my time there, we were successful in developing solutions to bridge gaps in infrastructure and in doing so profitably grew the business in both Canada and the U.S. and generated substantial shareholder value. We're looking forward to doing the same that at Gibson. Since joining the company, I've had the opportunity to visit our operations in Edmonton, Hardisty, Moose Jaw, Wink and Ingleside. And what struck to me is the quality and experience of our team who take pride in operating our assets safely and efficiently as well as our strong customer relationships. It is impressive seeing Gibson's critical energy infrastructure from where we stand [ph]. Our operations span from touching 1 in 4 barrels produced in Western Canada to exporting Permian and Eagle Ford barrels through the second largest crude export terminal in the U.S. These irreplaceable assets provide a tremendous platform for growth. Our focus is on strengthening our high-performance team culture and running our business well. Over the next year, our strategic priorities are delivering on the potential in Gateway and realizing the growth opportunities that surround our asset base. Now turning to our third quarter results. I'm pleased to report that we've had another strong quarter with adjusted EBITDA of $151 million, driven by near record contribution from our Infrastructure segment of $150 million. From a commercial perspective, construction of the 2 new tanks at our Edmonton Terminal has progressed according to schedule and we expect to place them into service by the end of the year. These tanks will add value for Synovus by providing 870,000 barrels of storage capacity and a high degree of connectivity, including into TMX. During the quarter, we also started work on the Cactus II connection at our Gateway terminal which will provide our customers with access to approximately 700,000 barrels a day of incremental Permian supply. We expect the connection to be in service in Q3 2025. As mentioned on our last call, we announced the Cactus II connection, along with the extension of a long-term contract at our Gateway Terminal on July 15 which is backed by a high-quality investment-grade counterparty. With respect to Gateway operations, we continue to see growing demand for our services at the terminal and contracting discussions with customers are moving forward. Our confidence in extending a second contract is unchanged and we still expect to continue achieving our previously communicated commercial objectives regarding tender and rate [ph]. So in summary, my first quarter at Gibson has been a pleasure. The team has delivered a solid quarter and I'm excited about the potential going forward. I'll now pass the call over to Sean, who will walk through our financial results in more detail.
Sean Brown: Thanks, Curtis. To focus on our financial results, we delivered another solid quarter with adjusted EBITDA of $151 million, slightly higher than the third quarter of 2023 due to an additional month of Gateway EBITDA contribution, partially offset by lower Marketing earnings. In our Infrastructure segment, we reported $150 million of adjusted EBITDA in the third quarter, $10 million higher than in the third quarter of last year due to a full quarter of contribution from Gateway as well as continued strong performance from the rest of our Infrastructure assets. This is relatively in line with Q2 2024 where we reported record Infrastructure segment EBITDA. Turning to the Marketing segment. Adjusted EBITDA of approximately $14 million was below the guidance provided on our Q2 call and represented a $10 million decrease relative to Q3 2023 and a $6 million decrease relative to the second quarter of this year. While crude marketing results were in line or slightly ahead of expectations entering the quarter, refined products results were softer than expected due primarily to weakness in the drilling fluid market. Variance to the comparable period last year was also largely driven by refined products with notably weaker demand for light sour product at Moose Jaw, though, we did also see fewer crude trading opportunities. With respect to our forward outlook, based on market conditions, we anticipate modest Marketing segment performance in the fourth quarter. The Crude Marketing segment is expected to be impacted by low Western Canadian storage levels which will likely moderate any time-based opportunities and contribute to lower volatility. The refined products segment is also expected to perform modestly due to soft drilling fluid demand combined with tight heavy differentials. We're also heading into the winter asphalt season where the focus is typically on building storage inventories. On an annual basis, under this outlook, Marketing is expected to end the year at or below our run rate guidance of $80 million to $120 million; though, I would note, we are prepared to take advantage of incremental opportunities should they arise. That being said, with the benefit of our Gateway acquisition, Marketing now represents a smaller proportion of our business at 10% to 15% on a trailing 12-month basis. We have also operated at these levels on many occasions historically and are well positioned from a balance sheet perspective given our continued commitment to our key governing financial principles as we move forward. To complete the discussion of results for this quarter, I'll briefly walk through a couple of items impacting distributable cash flow. The Q3 2024 distributable cash flow result of approximately $88 million with a $5 million decrease from the third quarter of 2023 and a $13 million decrease relative to the second quarter of this year. The year-over-year delta was driven by current income tax returning to normalized levels after benefiting from onetime tax reductions related to the Gateway acquisition in the third quarter of last year. The quarter-over-quarter delta was driven by lower Marketing results, higher replacement capital expenditures and current income tax. We also maintained our commitment to our financial governing principles with leverage of 3.2x, within our target range of 3x to 3.5x. I would note that given the current market structure, Marketing inventories are below what we typically hold, so our current revolver balance is somewhat artificially low, resulting in a lower leverage metric. Our payout ratio of 65% remains below our 70% to 80% target range, highlighting the sustainability of our dividend. On an Infrastructure-only basis, our payout ratio is approximately 71%, well below our target of 100% and leverage of 3.4x is also below our target of 4x. With ample headroom with respect to both ratios, we have significant financial flexibility, notwithstanding any softness in our Marketing business. In terms of capital allocation, we continue to be committed to be disciplined and focused on maximizing shareholder value. Given our current outlook for full year capital expenditures, marketing performance and our unwavering commitment to our key governing financial principles, we do not foresee buybacks during the fourth quarter in the absence of business outperformance. However, share repurchases remain a critical part of our capital allocation strategy and we will provide an update on our outlook when we announce our 2025 capital guidance in early December. Overall, we have a strong and conservative financial profile. Our leverage is low, both on a total and infrastructure adjusted basis. Our quality of cash flows continues to increase with the relative growth in our infrastructure business and we have significant liquidity and a staggered debt maturity profile. As we move forward, this financial profile will continue to offer us considerable financial flexibility. In summary, Gibson delivered solid results in the third quarter of the year, with Infrastructure results remaining stable and financial metrics within or better than our target ranges. I will now turn the call over to the operator to open it up for questions.
Operator: [Operator Instructions] Our first question today comes from Jeremy Tonet with JPMorgan Securities.
Unidentified Analyst: This is Ely Jobson [ph] on for Jeremy. Just wanted to start on the marketing performance the team touched on in the opening remarks. So I recognize there's been some headwinds driving performance to the lower end of the guide. But can you maybe speak to the longer-term expectations for the segment? Are there positive tailwinds in the future? Or should we think about these levels on more of a run rate basis?
Curtis Philippon: When I look at the marketing business, you have to recognize that the marketing business will have some lumpiness to it. But if you look over the long term, we're still comfortable with our long-term guidance of the $80 million to $120 million is a reasonable way to look at it. The Marketing business is that -- continue to be a good part of the Gibson portfolio. When you look forward to get these great assets that allow you to generate strong Marketing business and in times of volatility generate even more lumpy positive earnings.
Unidentified Analyst: Sure. And then maybe just on Gateway, I know the recontracting announcement didn't come this quarter and recognize that those discussions are ongoing. But maybe just thinking about the organic growth outlook for the asset itself. Can you remind us kind of what the expectations are for upside opportunities at the asset and how you guys are progressing against those?
Curtis Philippon: So I believe our guidance in the past has been an upside opportunity of 15% to 20% upside as we think about both capital and noncapital improvements on that. And I would say I'm in the seat now sort of 60 days in the seat and I quite pleasantly surprised to see that those are underway and very actionable and we're feeling good about that 15% to 20% uptick available to the business.
Operator: Our next question comes from Robert Hope with Scotiabank.
Robert Hope: Curtis, so you did mention you've been in the seat now for roughly around 60 days. What do you think the most impactful changes that you've made over the first 60 days have been in the organization? And then as you look out for the next 60 days, what are the key changes you want to see there as well?
Curtis Philippon: For the first 60 days, for me, in the first 60 days, it's been a lot of getting out and meeting our teams and spending time out in our assets, seeing the assets and getting to know the business in a deeper way. And so I would say, early on, it's a lot of getting to know about the business and the people involved with it. First step for me coming into the organization is really looking hard at the people and making sure that we've got the people -- the right people on the bus, going in the right direction. And so one of the first things that we did here over the near term, actually started even before I joined, is a bit of a pull back to the office. And so we actually said, hey, we need people back in the office in a bigger way and that was something that was started before I came. But you can see the impact of that. I think over the last 60 days that you've got a greater presence of people back in the office working on a more regular basis in the office versus a remote. It's a small thing but I believe it drives a cultural shift that our operations are out in the field every single day in sort of our Calgary and Houston offices also coming back in the office and being there in a bigger way has a cultural impact as well and I think increases are effective. So that's step 1. And as we move into step 2, we're looking hard at making sure we've got the right people in the seats in the organization and setting ourselves up for success. And that's going that's going quite well. And as I go through the operations and look at the opportunities going forward, we spend a lot of time talking about growth. I mean, how do you find interesting growth opportunities around the assets? For me, 60 days coming in, I've been very impressed with both the quality of the assets that we have and the operations and the people we've got in our operations. But also, I would say, positively impressed with the really interesting growth opportunities that we've got around our current asset base and the opportunity is for levers for growth around that. And so I think over the next 60 days, internally, we'll spend a lot of time just continuing to develop and evaluate those things as we look into next year and what we're going to do from a growth perspective in 2025.
Robert Hope: And then maybe turning over to capital allocation priorities or strategies. Sean, you did mention that on an Infra-only basis, the payout ratio as well as the leverage are below your targets. So when you think about pause or not pushing on the buyback into Q4, is that a function of just keeping some powder dry as you're seeing some good growth opportunities into 2025, keeping your powder dry for M&A? Or is it really a function of just better understanding what the strategy will be longer term here?
Sean Brown: Thanks, Rob. I think what that really is, I touched upon it in the prepared remarks but if you looked at it, our leverage is 3.2x is certainly at the low end of the range and something that you may think would be a predicator of reinitiating buybacks in the fourth quarter. What I did touch upon, though, is that our inventories right now are really quite, quite low just given the current market structure. If you normalize that to what would be a more normal inventory level for us, the leverage actually goes up sort of to mid-ish or higher end of that range. And just given our absolute laser focus and our key governing financial principles, it's just what we felt appropriate. So the leverage, at appearance, would seem to be at the low end. We'd look at it on a more normalized basis, more at the mid to higher end if you normalize for those inventory levels and it's really reflective of that. Just an absolute unwavering commitment to those key governing financial principles. But I do want to reiterate that our commitment to our capital allocation priorities does not change. Curtis touched upon it. Focus will and always be on growth opportunities. But to the extent that we have excess cash flow, we still remain committed to the buyback on a longer-term basis.
Operator: Our next question comes from Maurice Choy with RBC Capital Markets.
Maurice Choy: Maybe I could start with you, Curtis. You mentioned in your prepared remarks that you developed solutions to bridge gaps in infrastructure and you plan to do the same in Gibson Energy. And you also hope to realize the growth potential surrounding the company's asset base. Could you elaborate more on any gaps you may be seeing today and elaborate on this organic growth potential you speak of at the company?
Curtis Philippon: When I look at our asset base, like we have this unbelievable base of assets in Western Canada and down into the U.S. And around those assets, what I've seen 60 days in is some really interesting opportunities to increase throughput through our assets, look for opportunities to increase profitability within the assets, grow the customer base. And I think increasingly, is there ways to sort of increase that competitive moat around the assets. And so there's a number of things that go beyond just building -- there are opportunities with TMX to build more tanks as well but I think it goes beyond just building more tanks that there's really interesting ways for us to increase the throughput to our facilities. The obvious one that we've talked about in the past is the dredging projects that we're going through, the deepening project for our Ingleside facility where we're spending a lot of time right now going through the engineering of that to be able to increase the throughput capacity of that facility. It's a great example of the type of project that allows us to really increase the throughput, increase the profitability, make it more attractive for a wider base of customers. And there's other ones like that, that I find are quite attractive.
Maurice Choy: So as you think about all these Gateway opportunities, including the dredging program and tie that back to the second contract extension that you're still negotiating, how does that all work together in terms of timing? Would you consider offering a potential for that with the second customer before signing an extension? Or is it all separate?
Curtis Philippon: Definitely part of our conversation in our contract negotiations is what are some of the capabilities of the facility. And so the deepening is a consideration in that contract extension. And so that's something that we're working through over the coming months. But it's a compelling project for us, regardless, Maurice. We see a lot of benefit in increasing that capacity. So internally, we're spending a lot of time running full speed to make sure we've got all the engineering ready and planning that we're able to do that deepening work in the front half of next year.
Maurice Choy: Understood. And if I could finish off with a question on Marketing here. I think, Sean, you mentioned that the 2024 Marketing may potentially be at or below the long-term guidance of $80 million to $120 million. Do you anticipate the market conditions to materially change as you head into the new year? Or are there things that you're seeing that could improve your outlook?
Sean Brown: Yes, I think over the course of the year, I mean, there's many things. I mean, there's a lot of different factors that go into marketing. I think right now, as I talked about in the prepared remarks, our crude marketing business actually performed as we expected going into the third quarter. So a real credit to the team in that and what is not a perfect environment necessarily for that business. I mean on the refined products side, we are going -- as I talked about as well in the prepared remarks, we are going into the asphalt build season right now. So I mean, Q4 seasonally would always be a bit weaker for that business. And as we move into next year, we certainly do hope for it to improve. And if we look at the totality of the year as well, there's a lot that can happen throughout the year. So we are right now sort of in the midst of budgeting but I mean our visibility, as Curtis touched upon earlier, would be sort of in around a similar environment as we move into next year, as we look at it today but resulting in something that would probably be within that $80 million to $120 million. But again, a lot of things can change throughout the year but that's the visibility we have right now.
Operator: One moment for our next question. And our next question does come from Patrick Kenny with NBF.
Patrick Kenny: Just with the record throughput at the Edmonton Terminal. Could you just provide an update on customer demand or potential timing for sanctioning additional tankage capacity to fully build out the site?
Sean Brown: Yes. Thanks, Pat. It's Sean here, I'll take that. I mean, obviously, with TMX up and running, that would be -- so the driver of the record activity that we saw at the facility, I think we would agree with sort of industry in general, that TMX seems to have gone very well that's far through operation. We -- as we look at our terminal, we continue to see a very compelling service offering as it relates to new tankage demand there, have a tank that we put into service Q3 last year. We have another two tanks that we're going to put into service late this year as Curtis stressed upon in his prepared remarks. And again, I'd remind people under a 15-year contract with Synovus, a great partner that we have. So as we look, we have room for at least another two tanks there. Over the long term, we certainly see the demand for that tankage surfacing. We had said that people wanted to see really TMX in operation before making that decision. Really, no change from a timing perspective there. We continue to think that the service offering that we provided Edmonton is very compelling. We think over time, those tanks will get built and our commercial team is, as they always have been, in active discussions with potential counterparties and around that.
Patrick Kenny: Got it. And then maybe for Curtis, I know it's still early days here but any comments on how you're thinking about the energy transition strategy for the company? And if you're focusing more on smaller opportunities across the existing asset base or perhaps considering moving into other verticals outside of crude oil infrastructure such as NGL infrastructure or even natural gas?
Curtis Philippon: Yes. As we think about energy transition specifically, we do look at energy transition projects and that's part of our strategy as we're looking forward. But I would say our focus from a growth perspective is a disciplined growth. And regardless of the nature of the project, all projects are competing for capital and have to still fit into the same infrastructure fundamentals that we look for. And so there's no sort of different lens for the energy transition projects. We need to make sure that they still meet all those same compelling returns and infrastructure fundamentals. That's the key thing for us as we look at that. Now I think as we look forward over the next few years, there will be things for us to do on that, that line up really well and our core competencies that do meet those thresholds and we'll keep working at that to eventually add that leg to the business in a bigger way. When I look at growth for Gibson, we'll talk more about this over time. But when I look at it right now, I see a lot of really interesting growth opportunities right around our current asset base. But we wouldn't be doing our job if we weren't out there also thinking about what is the next platform for growth for Gibson. And just like we did with Gateway and we added that next platform that offered a lot of other organic growth around that asset, we'll keep looking at those things. The energy transition will be part of that as things we look at for the next platform of growth. But I got to say, we do have a lot of compelling things right around the core asset base as well. So there's sort of a constant competition for growth. And when I look forward for growth in the next year, we're pushing the team to sort of increase that funnel of opportunities coming at us. So we really have a strong competition for the best opportunities going forward. And ideally, I think we've messaged the range of $150 million of capital. And I'd push to say, how do we get closer to the $200 million level? What are those really interesting opportunities we can bring forward that both surround our current asset base but also look longer term at adding that next growth leg?
Operator: Our next question comes from Robert Catellier of CIBC Capital Markets.
Robert Catellier: I want to just continue on with the Marketing conversation for a minute here. Obviously, we have a little bit of visibility into crack spreads even if Gibson's unique product slate is a little bit different. But what's changed, I think, is the crude oil marketing opportunities. The last 2 quarters, it seems like there's been fewer opportunities than you've been accustomed to. And of course, that coincides with the onset of TMX coming into service. So my question for you is what gives you confidence that you can maintain the existing range, understanding that there's lumpiness as you suggested? But what gives you confidence that the fundamentals haven't changed over the long term to put that $80 million to $120 million in jeopardy? Or said another way, what do you think has to change in the market to give you more visibility to the $80 million to $120 million range?
Sean Brown: Thanks, Rob. I mean we talked about it in the prepared remarks. I mean, really, if we thought about the weakness that we saw this quarter, it was really almost entirely on the refined product side. So I appreciate the commentary. But as I said, I think in an answer to a previous question, I mean, our crude marketing business has done a fantastic job in generating margin even in this environment. So that is partially where we get confidence. It is performing really as we expected entering the year and continues to perform as we expected. We've got visibility into where our refined products is. You're absolutely right as you speak to the crack spreads. But as I said, we are right now sort of knee deep in our budgeting process but -- and that's a very comprehensive effort that we put in here. And the results of that are where that budgeting process looks to be coming out is where actually we get some of that confidence in being able to say, we still think that, that $80 million to $120 million is a valid number, notwithstanding some of the structural shifts we've seen in the market.
Robert Catellier: Okay. And I just wanted to touch on the waste-to-energy opportunity. I read the updates, obviously, there's really no update yet. You're still working on developing that opportunity. But I wondered if could you give any updates as to your confidence levels or where you think the CapEx might end up for Gibson on that project if it were to, in fact, move forward?
Curtis Philippon: From the waste-to-energy, as we've mentioned in the past, really, we talked about this project because we had some partners involved and we -- so that one is out in the open a bit more. But the way I think about that project, it's one of several that we're looking at in the background as an interesting potential growth leg. So that the assessment of the background is going as expected. We're going through both the technical and commercial review of that. For us to get comfortable and actually going forward with that, it would have to demonstrate with a high degree of confidence that we've got a very strong, compelling return, still lines up with all those infrastructure fundamentals, still provides a nice platform for growth to be worth the distraction and time that we put enough to go forward. And so I'd say we're going through that review right now but I wouldn't put that project ahead of some other ones that we're putting -- we've got -- we're working in the background either. And so I think more updates to come on that. We'll obviously update once we get through the review but no new update for this quarter.
Operator: Our next call comes from Ben Pham with BMO.
Benjamin Pham: Could you comment on the additional projects that you're looking on in the background that's ahead of the waste energy facility?
Curtis Philippon: Probably for competitive reasons, I probably won't come out and give full disclosure on all those projects. But there's interesting things to do, even if I was to give a little bit more visibility. And one of the interesting options as you look at our Gateway facility is that we are getting a lot of demand from customers for things like increasing ability to handle more Eagle Ford barrels. And what are some of the implications of bringing more Eagle Ford barrels and customers through that facility is something we're seeing a lot of customer interest in. And is there interesting capital projects to do around that is one thing that we're evaluating. But there's a number of things like that, that we're thinking about, both on the Canadian assets and the U.S. assets.
Benjamin Pham: Okay, got it. And maybe going back to the share buyback commentary, you think about through year-end. Is there any conditions or what factors would drive perhaps you revisiting a share buyback opportunity?
Sean Brown: In Q4, you mean, Ben?
Benjamin Pham: That's right. I think the beginning of year, last December, you mentioned maybe share buybacks by year-end. I think we thought -- and now it sounds like it's just tweaked a bit here.
Sean Brown: Yes. No, I think if you recall, our previous messaging had been we revisit near towards the tail end of the year. Factors that would have influenced share buybacks positively would have been a lower growth capital than guide. And at the time, we had a guide of $125 million to $150 million. And then the second one would have been Marketing outperformance. If you look at -- take both of those factors, growth capital looks like it's coming in right in around that $150 million number. And if anything, Marketing has somewhat underperformed based as you would have seen, given the guide we had going into the quarter and the financial results. So based on those two factors alone, it would point to not having buybacks in the quarter. So what could change it going forward? I mean the capital is fairly locked in. So I don't see that changing. If we saw tremendous volatility in the market and our Marketing business was able to take advantage of that, potentially, that could be a factor but what we would also take into consideration is what's our growth capital outlook as we look into next year. And Curtis spoke to it already. Extremely excited to already sanction the Cactus connection, working very hard on a potential deepening of the dock at Gateway. So we do think we've got a number of exciting growth capital opportunities there. But in direct to answer to your question, what could change it? It would be massive outperformance due to market volatility that we see in the fourth quarter which certainly we're prepared to take advantage of if it happens but I wouldn't say it's our expectation.
Benjamin Pham: Okay. Perfect. And just one last one. Your inventory commentary. I mean it looks like there's been some pretty big swings in that. I think Q2 looked like you had more leverage than expected -- or may not expect but more than the normalized and now it's below. Has there been a change in how you're managing net working capital or inventory versus the past [ph]?
Sean Brown: Yes, purely market structure, Ben. Actually, even the Q2 one was somewhat artificially high. It was more timing of actual inventory sales. What showed up in our revolver was a bit higher than the actuality. But at a high level, we started the year with a tremendous amount of inventory, just given the market structure and we have sold that inventory given current market structure. So no real change from past practice at all. It's just the net result of the structure throughout the year.
Operator: Our next question comes from Anthony Linton with Jefferies.
Anthony Linton: Just a couple of housekeeping items for me, I guess. On the infrastructure side of the business, it just looks like volumes ticked down a little bit quarter-over-quarter. Just wondering what the key drivers behind that were and how we should think about it moving forward?
Sean Brown: Yes. Thanks for that, Anthony. It's Sean here. Yes, nothing really -- no read-throughs there. I mean if you go through sort of our core infrastructure assets, we talked about Edmonton with TMX sort of peak volumes there. Our Gateway volumes continue to be extremely strong. So no change there. The variance this quarter was really in around Hardisty and that is really just a factor of some of the upstream activity at our customer facilities. So nothing systematic there. You would see, if you looked over the course of any year, depending on the activities of some of our customers, you would see a similar variance. So nothing specific there, really.
Anthony Linton: Got it. That's helpful. And then just another question on the normalized inventory level and you touched on it in the previous response but where do you sort of think normalized inventory level shakes out, given some of the volatility year-to-date? And will we see most of that in Q4? Or is that going to happen over the course of 2025?
Sean Brown: Yes, I'll take that one again. I mean I think the current view is right now is that inventory levels will remain relatively low through Q4. To the extent that the market structure changes somewhat, I think you would see some of that build through 2025 but we need -- it really depends on market structure at any time.
Operator: There are no further questions, so I would like to now hand the call back to Beth.
Beth Pollock: Thank you, Therese. And thank you for joining us for our 2024 third quarter conference call. Again, I would like to note that we've made available certain supplementary information on our website, gibsonenergy.com. If you have any further questions, please reach out to investor.relations@gibsonenergy.com. Thank you.